Eamonn Hughes: Good morning, everyone. I'm Eamonn Hughes, Investor Relations Officer, and you're all very welcome to Bank of Ireland's 2025 Results and Strategy Update. Myles will shortly take you through an overview of our business and how it performed over the last cycle. Mark will then go through the key points from our 2025 financial results. And then we'll turn to our strategy update covering our plans for the next 3 years to 2028. We'll then wrap up with the investment case for the group and open to the floor for your questions. Over to you, Myles.
Myles O'Grady: Good morning, everyone, for those with us in person in London and those on the call. You're very welcome to our 2025 results and strategy update. I'd like to start by giving you an overview of the unique shape and deep reach of Bank of Ireland's franchise. Put simply, we have an unrivaled position in Ireland with complementary international businesses. And what you see on the first slide is that unrivaled position across Mortgages, Everyday Banking, Corporate & Commercial Lending and Wealth and Insurance. Our position is underpinned by 4 long-established respected brands, Bank of Ireland, Davy, New Ireland and Bank of Ireland U.K. This embeds the group into every community in Ireland, its economy and indeed its society. This is key to our growth over the coming years, complemented by supportive businesses outside of Ireland. Being embedded in Ireland means being embedded in one of Europe's fastest-growing economies. This is a highly attractive market driving balance sheet growth. Ireland's average annual GDP growth is forecast to be 3% out to 2028 and as demographics are also highly supportive. These include a population expected to increase by 17% by 2040. A structural growth story in wealth management, sustained credit formation. And at this point, private sector credit grew 6% last year and Ireland's national development plan. This plan aims to drive Ireland forward with a EUR 275 billion public investment in infrastructure, unlocking economic and balance sheet growth. We're also mindful of the risks presented by the geopolitical uncertainty. Ireland is navigating these risks well with a resilient and growing economy. Healthy public finances can help to shield against volatility and Bank of Ireland's strong balance sheet is well positioned to manage potential future challenges, underpinning a bright future for the group. Bank of Ireland's unrivaled position in Ireland and the strength of the Irish economy come together on Slide 8. This combination is driving outstanding business performance. Over the past 3 years, new to bank customers increased by 18%. We have significantly improved customer satisfaction. And this has been supported the balance sheet momentum you see here. Our Irish loan and deposit book grew 6% in 2025, while wealth assets under management increased by 9% to an all-time high. Capital generation was 270 basis points last year, bringing the total over the cycle to 920 points. That's EUR 5 billion of capital generation. On Slide 9, we recap on the returns profile since 2022. In early '23, we committed to a range of financial targets, which have been delivered. That's ROTE, cost income ratio, a progressive dividend and returning surplus capital. This performance has supported strong distributions, totaling EUR 3.6 billion over the last cycle, equivalent to 37% of our starting market capitalization. And for 2025, this includes EUR 1.2 billion of distributions, which equates to 100% total payout of earnings, comprising a progressive dividend per share of EUR 0.70 and the EUR 530 million approved share buyback we are announcing today. We enter 2026 and our new cycle to '28 with real momentum and strong capital generation. And I'll share more on this with you shortly. For now, I'll pass over to Mark, who will take you through last year's financial performance.
Mark Spain: Thanks, Myles, and good morning, everyone. We've had a strong financial performance in 2025. Slide 12 sets out the key highlights, including continued momentum in Irish loans and deposits, both up 6%, growing fee income led by our Wealth and Insurance franchise, ongoing cost discipline and robust asset quality. All of these contributed to capital generation of 270 basis points and support total shareholder distributions of EUR 1.2 billion. Subject to shareholder approval, the ordinary dividend will be EUR 0.70 per share, up 11% compared to last year, reflecting our confidence in the bank's prospects. We've had a good NII performance in 2025 with balance sheet growth, bond purchases and our structural hedging helping to counter the impact of lower interest rates and planned deleveraging. We expect NII to grow from 2025 levels to around EUR 3.4 billion in 2026, above our expectation of the high 3.3s. The key dynamics here are business momentum and hedging, playing remaining interest rate and deleveraging impacts, including our recently announced intention to run down our U.S. acquisition finance book. We expect stronger growth in 2027, where we are upgrading our prior guidance of the mid 3.5s with NII of greater than EUR 3.6 billion now expected. As part of our strategy update, we have published new guidance for 2028 today with NII of greater than EUR 3.85 billion expected with the potential for further upside beyond. The supportive Irish macro backdrop that Myles spoke to earlier and the breadth of our franchise both contributed to the strong growth in Irish loans in 2025. Our Irish Mortgage business had another excellent year with a greater than 40% share of new lending for the third year running, while retaining our commercial and risk disciplines. International corporate contracted as planned due to the portfolios and runoff and FX was a headwind in 2025. In 2026, we expect to see net lending growth of around 4%, once again led by our Irish books. We saw good growth in customer balances in 2025. This was led by our Irish Everyday Banking propositions, where flow to term dynamics reduced as expected. Retail U.K. balances were higher with a good performance by our Northern Ireland business. For 2026, our expectation is around 3% growth in deposits, led by continued strong growth in Irish Everyday Banking. Slide 16 provides more detail on our structural hedge, which is one of the key drivers of our NII trajectory into 2028 and beyond. Rollovers and additions meant the average yield in the hedge rose 16 basis points to 1.89% in 2025 with an exit yield of 1.98%. And there's more to come this year. Helped by our modest growth in our hedge volumes and the rollover dynamic, we see fixed leg income increasing by 10% in 2026. The group's total fee income increased by 7% last year. Wealth and Insurance, which now accounts for nearly half of total fee income, had a really good performance with fee income up 12%, reflecting the benefits of our strategic execution over the past 3 years. For 2026, we expect to see around 4% growth in fee income, driven by Wealth and Insurance. Operating expenses rose 3% last year, meeting our guidance. Staff and other costs were higher. This reflects a number of factors, including wage inflation in the competitive Irish labor market and ongoing investment in digital capabilities and customer experience. Efficiencies from our restructuring and investment activity were equivalent to around 2% of the cost base. And we'll see more of this over our new strategic horizon. On Slide 18, I'd also note the noncore charge of EUR 430 million. Majority of this relates to U.K. Motor Finance. EUR 153 million of restructuring costs supported the delivery of our efficiency program. One presentational change to call out here is that from 2026 onwards, restructuring costs will be included above the line. We expect to see total costs of around EUR 2.2 billion in 2026. This is comprised of 2 parts. Firstly, underlying operating expense growth of around 2%, reflecting inflation and investment, including targeted higher investment to support strategic delivery, offset by efficiencies. And secondly, restructuring costs that are expected to be in line with the 2025 outturn. Looking further out, we expect total costs to be stable at around EUR 2.2 billion over the strategic cycle. Moving now to Slide 19. The impairment charge in 2025 was EUR 193 million or 23 basis points cost of risk, better than we had anticipated following a strong final quarter. Within that, net loan loss experience and portfolio activity was EUR 65 million, with net writebacks in H2, reflecting the team's execution on the ground. Macroeconomic and model updates account for the balance of the charge with a geopolitical PMA of EUR 40 million, providing protection against potential volatility. The NPE ratio finished 2025 at 2.2%, down 40 basis points in June, reflecting the H2 progress. Looking ahead, we expect the cost of risk to be in the low to mid-20 basis points. Group is a very capital-generative business model. Organic capital generation was 270 basis points last year. Around 1/4 of this was consumed by investment in lending and CRT amortization. IRB model scalers consumed a further 40 basis points with an objective to at least partially mitigate these over time. We've today announced distributions totaling 225 basis points in respect of 2025 performance. Our reported CET1 ratio was 15.1% after EUR 1.2 billion of distributions with 100% total payout ratio, which compares to 80% last year. For 2026, we expect net organic capital generation of around 250 basis points. We've updated our CET1 guidance for the new strategic cycle to around 14.5%, which we believe is an appropriate level to both protect the bank and support the ambitious growth plans we are setting out today. Our objective is to operate at this new CET1 guidance. Slide 21 recaps the building blocks of our 2026 financial guidance that produce around 12.5% statutory ROTE expectation for 2026. On this slide, I would note the changes to the presentation of a number of our key metrics. Having taken on board market feedback and reflecting on peer approaches, from 2026 onwards, we will simplify our reporting by including restructuring costs within our operating expenses and within our cost income ratio and presenting ROTE on a statutory basis. To conclude, as we start 2026, we have real momentum across our franchises, which sets us up very well as we start our new strategic cycle. I'll pass you over to Myles now, who will take us through our new strategy.
Myles O'Grady: Thanks, Mark. The strategy we are setting out today is centered on 3 priorities. The first is continued business model momentum in Ireland, driving growth. And earlier, I spoke to the very strong balance sheet growth over the 3-year period to 2025. That growth story continues. We expect lending growth of 4% per year, deposit growth of 3% and AUM growth of 10% and in turn, creating more value from a highly attractive Irish economy. The second is allocating capital to optimize returns. We're allocating more capital to the island of Ireland while capturing the most attractive opportunities in our corporate and U.K. franchises. And the third, investing for the future, improving resilience, customer experience and efficiency. This ambition underpins the financial targets we are setting out today. We see income growing at an annual growth rate of more than 4%. This top line momentum, supported by our investments and cost discipline is transforming operating leverage. This is reflected in our cost income ratio expected to fall to mid-40s by 2028 with an ambition to go beyond. Combined, this sees our return on tangible equity, that's a clean statutory ROTE increasing by more than 500 basis points to greater than 16% by 2028. As set out on Slide 25, the group has a strong portfolio with complementary capabilities across our businesses. These interlinkages between our Retail, Wealth and Insurance and Corporate & Commercial teams offer significant potential. Examples include 2.2 million retail Ireland personal customers, of whom more than 150,000 are affluent, and this offers an important opportunity to Davy Wealth, connecting our corporate customers with New Ireland corporate pension solutions and leveraging our Davy Capital Markets business to offer more complex solutions for our corporate customers. We have the opportunity to serve more than 4 million customers at every step and stage of their financial lives. Our Everyday Banking franchise in Ireland, a core value driver for the group, has very attractive market positions. From a position of strength, we have a growing deposit franchise with EUR 87 billion of customer balances equivalent to around 1/3 of total Irish private sector deposits. And we expect continued growth in our deposit and current account franchise. Our ambition here is threefold: one, to strengthen customer loyalty through improving experience and to protect customers from the ever-increasing surge of fraud; two, to grow our customer and deposit base, supported by product innovation, for example, our Smart Start account for youth customers and our coming to Ireland product for people are returning to Ireland; and three, to drive more efficiency through technology. Delivering our strategy allows Bank of Ireland to command a leading share of new business, to deepen customer relationships and to drive further cross-sell. We are Ireland's #1 Mortgage provider, and our strategic objective is to retain that position. In the last cycle, we captured a growing share of Ireland's growing Mortgage market. Rising housing output underpinned by Ireland's strong demographics represents a clear structural growth opportunity for mortgages, supporting an expected 5% average annual book growth. Over the next cycle, we will maintain our right to win in this market while continuing to maintain pricing discipline. And we continue to enhance our capability, making it easier and faster for customers to secure a Mortgage approval. Our overall ambition is to be the unrivaled leader in Irish home buying. We are Ireland's leading wealth provider. Our Davy and New Ireland insurance businesses have more than 650,000 customers. Total AUM was a record EUR 60 billion at the end of last year. This has grown by more than 50% since we completed the acquisition of Davy in 2022. And supported by favorable dynamics across all segments, high net worth, affluent and corporate pensions, we expect AUM to grow to more than EUR 75 billion by 2028 with an objective to hit EUR 100 billion by 2030. And I expect this business to be the largest source of capital-light fee income growth out to '28 and beyond. This is supported by the strong Irish macroeconomic fundamentals, investment in our digital platforms and further cross-sell into our retail customer base. We have successfully repositioned our retail U.K. business in recent years. Our reshaped loan book and improved funding base are delivering attractive sustainable returns. Our U.K. subsidiary reported an underlying ROTE of 16% last year, continuing the trend of strong returns from this business. And throughout the new cycle, we expect growth through selective lending and mortgage products and strengthening propositions and capabilities in Northern Ireland, complemented by our specialist lending propositions in Great Britain. Slide 30 covers our Corporate & Commercial Banking division. With a very strong market position, including an SME lending share of more than 50%, we are well placed to benefit from increased housebuilding and infrastructure investment in Ireland. We're also deepening our relationships with our corporate customers, growing lending and fee income, leveraging our broader business model, including treasury services and Davy Capital markets. This underpins our strategic objective to retain our leadership position in Ireland. To deliver those business line performances I've just spoken to requires ongoing digital investment. In 2025, we delivered important enhancements. This includes the rollout of a new SME lending platform, SEPA instant payments and a wide range of customer service improvements in our contact centers. We also progressed our new mobile app and Zippay instant payments, both due for launch in the coming months. Over the new strategic horizon, we are making a conscious decision to invest more than previously planned to protect and grow our core Irish franchise and capitalize on our unique position in wealth. Priority areas of investment include operation resilience, including cyber protection, a new commercial digital platform and as referenced earlier, a scaled wealth platform and automated credit decisioning for mortgages. And in -- a new U.K. savings platform to support long-term funding needs. These investments offer a better customer experience and allow the group to deepen and grow our customer base. Earlier, I said the group was embedded physically and online in every community in Ireland. The combined power of this presence is a winning formula for our customers and a source of value creation for the group. We're also embracing AI. My focus is on creating tangible value and setting out an ambition that truly captures the positive and profoundly disruptive benefits of AI. We see emerging tangible value from our deployments to date. Contact center call transfers have reduced by more than 40% as AI connects with the help they need better and faster. AI is also protecting our customers, assessing over 1 billion card transactions last year to help prevent fraud. And we are targeting increased efficiency, reinventing our approach to KYC and customer onboarding. These are just some examples. We see real potential for AI to fundamentally improve a range of areas. These include customer sales and servicing, middle and back-office functions and changes to our technology delivery. Now bringing this together, this strategy builds on our strong momentum, delivering business and revenue growth, combined with a stable operating cost base, which creates significant operating leverage. We expect to see considerable top line growth in the coming years, and I referenced earlier income growing on average by more than 4% per year. And over that period, a continued focus on cost discipline and efficiency. As I said earlier, we are targeting a mid-40s cost to income ratio by 2028 with an ambition to go beyond. And that equates to a circa 6% operating efficiency improvement over the next 3 years. To meet our efficiency objectives, we've identified EUR 250 million of cost reduction. And there are 3 main elements to this. Firstly, our operating model, where we have redesigned and we are simplifying our organization and footprint. Two, redesigning our customer journeys and internal processes. I referenced KYC earlier; and three, rigorously ensuring our third-party providers create maximum value for Bank of Ireland. And related to this, we have radically reduced the number of third parties we work with, focusing on a much deeper, more strategic relationship with a smaller number. And Mark will provide more detail on this objective later. Slide 25 sets out how our strategy will continue to drive significant shareholder value. At its core is a more than 500 basis point increase in statutory ROTE to greater than 16% by 2028. And that equates to compound earnings per share growth in the mid- to high teens. All of which underpins continued attractive distributions to our shareholders. And we are achieving this by driving growth in Ireland from a structurally advanced economy, the strength of our balance sheet, making the best use of our capital, investing for the future in support of customers and shareholders, maintaining a very sharp focus on efficiency and competing hard, always with a focus on price discipline and risk management. Mark will now take you through our financial targets.
Mark Spain: Thanks, Myles. Slide 38 sets out the macro context that underpins the balance sheet growth we expect to see over the new strategy. We expect to see CAGRs of around 3% for deposits, around 4% for loans and around 10% for AUM. For deposits and lending, we've been pragmatic in embedding some of a growing market going to new players, an assumption which sees continued growth momentum for Bank of Ireland's balance sheet. This balance sheet growth and structural hedge dynamics will help total income grow at a CAGR of more than 4%, rising to greater than EUR 4.75 billion in 2028. NII is expected to increase from around EUR 3.4 billion this year to more than EUR 3.85 billion in 2028, with the growth rate accelerating as we move through the cycle. Given the strong balance sheet drivers and the multiyear benefits from our structural hedge, which I'll come back to shortly, I see the potential for NII to reach EUR 4 billion after 2028. We expect fee income to grow by around 4% a year over the plan with W&I growing at a faster pace. The structural hedge is an important part of our revenue outlook. We see it providing a gross tailwind of around EUR 0.5 billion over the next 3 years as the yield moves towards the 2.5% level. Hedge volumes will grow over the coming years as customer balances evolve. While other hedging, for example, on our fixed rate mortgages also need to be factored into our NII, the key message here is that the structural hedge is a material positive driver, which should mechanically flow into our NII as hedges roll over. We are guiding for total costs to be stable at around EUR 2.2 billion over the strategic horizon with a CAGR of around 1% from 2025 levels. The key moving parts are inflation and investment with investments higher than prior plans to support our strategic delivery, offset by material efficiencies, driven by investment in our restructuring activity and lower restructuring costs over the period. As part of this, given that around half of our costs are staff related, we expect staff numbers to fall by around 3% each year, largely from natural attrition. As Myles said earlier, operating leverage is a key outcome of our strategic plan with our cost income ratio improving by around 6% from 52% last year to the mid-40s in 2028 and with an ambition to go further beyond that. Slide 42 provides details on our 3 areas of efficiency focus, each of which contribute broadly 1/3 to meeting our total efficiency target of around EUR 250 million that Myles spoke to. Key initiatives include completing our organization redesign, the exit of nonstrategic business lines, material consolidation of third-party suppliers, optimization of KYC and onboarding journeys and transforming our U.K. operations. Slide 43 summarizes the key drivers in our statutory ROTE building to greater than 16% by 2028 from a starting position of 12.8% last year, excluding the Motor Finance impact. Franchise growth predominantly reflects the power of our brilliant Irish Retail business and Wealth franchises. As I noted earlier, the structural hedge benefits are realized as hedges roll over at rates close to 2.5%. And while our TNAV increases, the growth is lower than RWA growth due to DTA utilization over the next couple of years. The momentum in our franchises gives us confidence that ROTE can increase further in 2029 and beyond. We expect organic capital generation to build to more than 270 basis points by 2028, averaging around 260 basis points over the cycle. Of this, around 1/4 is required to support business and lending growth. We also guide to a progressive ordinary dividend per share supported by a payout ratio of around 50%. This will leave us with significant amounts of surplus capital, which will be returned to shareholders unless there are more compelling strategic opportunities. Our objective is to operate at a 14.5% CET1 guidance, subject to customary approvals. Slide 45 recaps on our key financial targets with growth, operating leverage and returns at the heart of our updated strategy. Two items I'd mention here are: firstly, we see net capital generation of around EUR 3.7 billion over the plan, equivalent to around 1/4 of our end 2025 market cap and our expectation for mid- to high teens CAGR in earnings per share growth through this new cycle. I'd note that the EPS guidance does not make allowance for buybacks. Thank you. I'll now pass it back to Myles.
Myles O'Grady: Thanks, Mark. Bringing our presentation to a close, let me recap. Today, we're setting out a strategy to create significant shareholder value by driving growth in Ireland, optimizing capital for maximum benefit and investing for the future. The strategy stands on the back of Bank of Ireland's unrivaled embedded position in one of Europe's best-performing economies and is underpinned by our proven track record of strategic delivery, which has built the foundation, enabled the momentum that drives us forward to 2030. Thank you very much for your interest in Bank of Ireland. We'll now open the floor to questions. And Eamonn, over to you. Thanks.
Eamonn Hughes: Okay. As Myles said, we're now open to the floor for questions from analysts, actually first taken in the room before moving to those who have joined us online. And actually, for those of you in the room, you'll note that there's actually a microphone, I think, in the front -- just in front of you there. So please raise your hand and we'll take them in turn. So actually, just Andy we will take you first, if that's okay.
Unknown Analyst: Well. Yes. Just one for me really. The increase in the CET1 target to 14.5%, I thought there was probably more of a chance that you might reduce that at some point rather than increasing it. So what feedback have you had from your -- maybe your debt holders that I can't imagine that they were unhappy with anything, but what was it that made you increase that number because it probably looked like there was room to reduce that rather than increase.
Myles O'Grady: Yes. Thanks, Andy, for that. So as we embark on a new strategic cycle, our updated capital guidance to 14.5% allows the group to protect and safely grow our business. So it supports strong shareholder distributions, balance sheet growth and indeed business model investment. And at this capital level, we see growth coming through in the strong ROTE momentum. So we are with an updated clean ROTE of more than 16% by 2028, underpinned by average capital generation of 260 basis points. So this is the very nice balance between growing our balance sheet safely with a strong capital position and generating very strong capital returns. And of course, we can link that to distributions, the communication of a EUR 1.2 billion distribution for '25, that's distributing 100% of profits. It's a progressive DPS of 11%. It's an increase in payout from 80% last year to 100% this year. So it's in that context we thought about our capital position out over the next 3 years. Thanks, Andy.
Eamonn Hughes: Dermot, next? [Audio Gap]
Myles O'Grady: Yes. Thanks, Dermot, for that. And the question in the heart, the competition question, I mean, firstly, the -- I called out 3 really important components to our strategy today. So driving growth in Ireland, optimizing capital allocation and investing. And really, that growth in Ireland is the big story here. And so we expect the lending book to grow by, on average 4%, the deposit book by 3% and our wealth assets on average by 10%. Of course, driving top line growth of 4% on income, translating with op lev into ROTE improvement of 500 basis points. So with that as a backdrop, I mean, from a competitive perspective, for sure, Ireland is an attractive market. You heard me say it earlier, but it's also a competitive financial services market across a range of products. There's about 20 market players, including traditional and FinTech providers. And growing our Irish business, part of that strategy, again, very encouraged by the great momentum coming out of the last cycle, growing lending and deposits by 6%, AUM by 9%. So we enter '26 from a position of strength, a very strong franchise. Competition is picking up a little bit for sure. We compete on 3 pillars. One is a footprint that offers a deep business relationship and customer service. Two is an ever-increasing digital capability. I referenced earlier a new mobile app and faster peer-to-peer payments coming out soon. And the third pillar, of course, is always going to be to offer value to our customers while maintaining pricing and risk discipline. And from a guidance perspective, Dermot, I think we've been pragmatic in embedding some of a growing market going to new players. I think that's a reasonable assumption, an assumption with the Bank of Ireland balance sheet and franchise grow. And on the capital point, so certainly, in setting out an updated capital target of 14.5%, I mean 2 observations. One is in moving to a statutory ROTE with a target of greater than 16% is a sign of our conviction to operate in line with this new guidance, meaning if we hold excess capital and clearly, statutory ROTE would be reduced. And on a relative point, looking forward, we expect to operate at 14.5% each year. And given the need to hold about 25% of cap gen for loan growth, 100% payout would not be a constraint looking forward. I think that's it. Thank you. Thanks, Dermot.
Eamonn Hughes: We move to Sanjena next. Actually, just if you can press the button on the mic, I think it will help in terms of getting picked up the question.
Sanjena Dadawala: Sanjena Dadawala from UBS. I'm trying to better understand the net capital generation number of EUR 3.7 billion, which, as I understand, is the capital available for distributions after growth. So while the P&L to '28 is in line to ahead of consensus, the net cap gen projection is below what consensus currently has in terms of total distributions of EUR 4.2 billion or so. Potentially half of the cap can be explained by higher RWAs, but if you could help reconcile the rest. And then secondly, on fee income. So the growth number of 4% per annum, while still good, is lower than the usual 5% that we've talked about in the past. Are there any specific factors weighing on this?
Myles O'Grady: Super. Sanjena, thank you for that. I'll ask Mark to take some of those. So just maybe to frame the capital gen question. So that EUR 3.7 billion underpinned by average capital generation of 260 basis points per year. That's really important to make that point because that momentum continues and again, of course, in support of a ROTE that is growing. And Mark, on some of the moving parts...
Mark Spain: Yes, on the -- yes, Sanjena. Yes, on the net cap gen, so maybe a couple of things there. So one, we need about 25% of organic cap to invest in growing the business. So that's certainly one factor. A second factor you might just think about is our DTAs, actually, that benefit we have in '26 and '27. We actually use our DTAs by the middle of 2028. So those are probably 2 things just to bear in mind as you think about that. And on the fee income, the fee income about 4% over the cycle, maybe 2 things I'd call out there. So one is, we had a really, really strong performance in 2025, really pleased with that. We do call out in the detail in the report some modest one-off benefits in our Life business. So I think when you adjust for that. And then the second thing is in our Retail Ireland business, we expect a change in interchange arrangements from the beginning of 2027, which costs about EUR 15 million a year. So [ we've allowed ] for that in the 4% as well.
Myles O'Grady: And maybe just as a final point, I spoke earlier about the ability for our Wealth business to really supercharge our fee income. And against the backdrop of AUM growth of 10%, that fee income component that's coming from Wealth is a hugely important part of our capital-light income model growth. Thanks, Sanjena.
Sanjena Dadawala: Sorry, can I just follow up on the first one? What -- you mentioned TNAV growing less than RWAs, but would you be happy to put some numbers to that?
Mark Spain: Yes, for sure. So with loan growth around 4%, as we say, and Ireland growing faster within that, Sanjena. Then if you think about RWA growth as a second leg on that, a little bit less because of the mix factors, for example, Irish mortgages, U.K. mortgages will carry lower risk weights than corporate. And then TNAV because of the benefit of the DTA in particular, growing at about 1% to 2% a year over the cycle.
Eamonn Hughes: I think Guy just had his hand up first, sorry. We move to next.
Guy Stebbings: It's Guy Stebbings at BNP Paribas. The first question was on net interest income. Thanks for all the exhaustive guidance today. Beyond '26, just 2 particular points I want to focus on. On the structural hedge, there's some sort of useful color, but maybe just be a bit more specific in terms of maturing yields beyond '26, so where you expect the yield for the total hedge to go to? And then on competitive dynamics, I think you talked a little bit about maybe some share giveaways perhaps. But in terms of any impact on product spreads captured in the guidance, that would be helpful. And then back on capital again. I guess I'm trying to understand, is the 14.5% the number because that's what's practical given the strong starting point, the strong capital generation and what you can realistically distribute or is that the number because that's the right number you think the business should run to even well beyond 2028?
Myles O'Grady: Yes. Thanks for that. And Mark, I'll pass it to you on the NII-related questions. On capital, again, it's just that point that we start into a new strategic cycle. And hopefully, you've got a very strong sense that this is a growth story for Bank of Ireland out over the next 3 years. So we want to make sure we grow our balance sheet, grow our business really safely and make sure we've got the right capital to ensure that we can reward shareholders, that we can grow our balance sheet, that we can invest in our business model as well. It's in that context. And again, I'd make the point that linking a 14.5% capital that we can run the business at combined with a target statutory ROTE of 16%, I think is a good balance to think about how we think about our conviction around that level of ROTE performance. And Mark?
Mark Spain: Yes. On the NII, I mean, maybe just to stand back for a second, I mean, this is a real story of continuing real momentum here in our NII trajectory. I think we were out with you a year ago. We gave a positive outlook on our NII trajectory to 2027. We've upgraded that outlook several times since, and we're upgrading again today. So again, specifically, we're upgrading 2026 around EUR 3.4 billion, previously high 3.3s, 2027, now greater than EUR 3.6 billion, previously mid 3.5s. And then the new guidance today of greater than EUR 3.85 billion and the key drivers before that balance sheet growth largely in Ireland and the benefit of the structural hedge. And I did note in the presentation that I see the potential for the business to reach EUR 4 billion, but after 2028. And specifically then on the structural hedge maturing yields, actually, we've got some details in the slide materials. But in 2027, 1.16%; and in 2028, 1.06%. So again, when you think about the reinvestment yield, that is quite a delta between the reinvestments and the maturity.
Eamonn Hughes: Okay. [ Perlie, ] I think we go to you next. [ Perlie ] can just press the button actually.
Unknown Analyst: I am sorry about that. On NII, yes, you've mentioned that you've upgraded guidance a few times. And if I look at the building blocks to '26, based on today's rates and what happened in Q4 implied, I think one could make the case that even EUR 3.4 billion looks like there's some conservatism embedded in that. So what are you -- what are some of the areas that could drive it higher or lower? Competition you've mentioned? And what about deposit migration to term? It looks like it's a little bit slower than expected. So just what are you assuming over there? And then on the cost side, you've mentioned 3% reduction in headcount. Is that in relation to the EUR 250 million AI efficiency saves that you identified?
Myles O'Grady: Yes. Thanks, [ Perlie, ] and good to see you this morning. So I'll ask Mark to take the dynamics on interest income and certainly any potential for upside. On the cost piece, maybe if I anchor my response to the question in terms of what we're doing with operating leverage, really important. So in the context of top line growth of income of 4%, but also creating significant operating leverage from efficiencies. I've spoken about a mid-40s CIR, cost income ratio by FY '28. That's a 6 percentage point improvement versus FY '25. And certainly, when we get to that upper end of the mid-40s, we want to do more and do better. The EUR 250 million cost savings that are built into that overall outlook for that mid-40s CIR, I mean, there are 3 components that we called out. Much of the work has been done to get those benefits. So it's the operating model we have deployed. It is our -- going after our customer journeys and our internal processes and also making our third parties work really hard. Within the EUR 250 million, I would say, of those savings in the region, of about 20% are coming from AI. And that's important because when we go beyond 2028 and our objective to create more leverage and take our CIR lower again, AI will play a bigger role in supporting that further improvement in operating leverage.
Mark Spain: Yes. So just on the NII, maybe a way to think about this is just year-on-year, and we can look at this in different ways. But if I think about year-on-year, 3 moving parts relative to 2025. So firstly, rates and FX are lower relative to 2025, and ECB rate 25 bps lower on the year. BOE also lower as well. So about EUR 110 million of a headwind there. The deleveraging portfolios, and I think probably -- the market probably hasn't fully taken into account the impact of our U.S. acquisition finance announcement of about EUR 70 million impact over 3 years, about EUR 30 million of that this year. So together, they're almost EUR 200 million of a headwind. But against that, we've got the balance sheet growth, the structural hedge and the full year impact of the bond purchases we've conducted and they're more than offsetting that, that gets us to the circa EUR 3.4 billion. So happy to get into that in more detail, but those are the big moving parts.
Eamonn Hughes: Okay. I'll move down to Sheel, you're next.
Sheel Shah: Sheel Shah at JPMorgan. I've got 2 questions, please. Firstly, on the capital, again, I'm struggling to understand the point around protecting the bank. You've got RWAs that are growing. You've got a capital base that is also growing, but the capital ratio has now increased on the back of that in terms of the target. Are you holding anything back from maybe M&A or further growth opportunities beyond the organic that you're seeing across the plan? And then secondly, on costs, could I ask around the investments that you're making and the timing of these investments and the timings of the efficiencies? You mentioned that the bulk of the investments have already been made around the org design. Could I just press you as to the shape of these costs? I appreciate the total cost base is looking flattish, but more around the cost investments and the efficiencies.
Myles O'Grady: Very happy to, Sheel. Let me take the capital and M&A-related question and Mark, the profile of those cost savings. So Sheel, I mean, this morning, we're presenting an organic strategy for Bank of Ireland out to '28. So everything we've set out today is organic growth in the context of our lending book growth, the deposit book growth and of course, our wealth business as well. So nothing included in today's material for M&A. And of course, we do have the benefit of 2 transformative acquisitions in recent years, Davy, Wealth and of course, the KBC back book as well. And my experience is that M&A can be opportunistic. And certainly, if any opportunities present themselves. I spoke about the importance on driving growth in Ireland. So that will generally be my focus in that regard. We'll always think about an acquisition in the context that it must be aligned to our strategy, hence the Irish story. Two, that we can integrate it to ensure we generate synergies and further that it generates strong attractive returns. So it's not an explicit linkage, but I think we can say that we are keeping a very strong capital position to grow our business and also, of course, be ready to avail of any opportunities should they present themselves.
Mark Spain: So EUR 250 million target over the cycle, maybe just give a bit more color on it somewhere between around 12% and 14% of our addressable cost base. That's offsetting inflation and also the material investments we're making and the 3 buckets we spoke about op model, third-party and AI-enabled process excellence. If I think about the phasing of that EUR 250 million, somewhere around 40 -- 40/20 over the 3 years. There are clear initiatives in place, and I'll just come back to those in a second. But just to give you a sense of momentum on that, actually in our disclosures for 2025, you can see we've got EUR 38 million of efficiencies. That's mostly H2 weighted. So about sort of run rate of somewhere between 2% and 3% in the second half of last year. We need to get above about 4% in our cost base. So we're building towards that. And as you note, actually, the members of our exec team are actually all in the room this morning. So I know they'll be really excited afterwards to tell you about what they're working on. But just to give you an example to bring it to life, and we mentioned about material consolidation on our third-party providers. So one of the things we would have worked on last year and would have been incorporated in the restructuring cost of last year was on our change providers, okay, reducing the number of providers there significantly down to around 5. So all the hard work, thinking the RFP process, et cetera, all run during the back part of last year. And now that's actually coming to life. We're getting the benefits in this year. So it's just one example, but there are many examples.
Benjamin Toms: Toms from RBC. The first on competition. Can you just give us some color about what kind of competition changes you've got baked into the plan? Have you been relatively conservative the Irish banks have been relatively conservative historically? And does it make any difference do you think that one of your peers potentially might get purchased over the next 6 months to competition in Ireland? And then secondly, on net interest margin, could you just help us a little bit with the shape potentially of net interest margin for this year to kind of give us an idea of the exit rate?
Myles O'Grady: Super. Thank you. And on competition, and I won't -- as you expect, I won't comment on the particular transaction in the Irish market. But I think it is interesting in the context of somebody willing to come into the market. From my perspective, maybe on the harder end of it, I referenced earlier on the guidance point, I think we've been pragmatic. We simply say that this is -- the Irish market is going to continue to grow. The loan book is going to grow. The system loans will grow. For example, mortgages as a structural positive fact. I referenced earlier; private sector credit grew 6% last year. Business sentiment is quite strong. I expect that to grow as well. System deposits are also going to grow. And certainly, demographically, wealth assets will also grow, and we're particularly well positioned to get the benefit of that. But we have been pragmatic in assuming that a growing market, some of that will go to an alternative provider, but very focused on ensuring that we continue to compete. I spoke earlier to competing based on our physical footprint plus our ever-increasing digital capabilities. I regard that as a winning formula, and we enter this period of maybe a slightly increasing competition but a very, very strong position.
Mark Spain: Yes. Just on the net interest margin. So last year, 2.68%, broadly flat half-on-half, and we expect the net interest margin going forward to track our NII guidance.
Aman Rakkar: It's Aman Rakkar from Barclays. I had a follow-up question on capital. And yes, I'll start with that one. So a follow-up question on capital. So you're talking about the 100% payout ratio. Why -- you're talking about not being constrained going forward, but it appears to have been a constraint today. I think you've kind of -- your distribution outturn for the year is coming below market expectations, right? We're all expecting a payout ratio above 100%. So why did you not pay out above 100%, you clearly got the capital to do it. And I guess I'm asking that question in the context of what it feels like pretty negative signaling here around capital, right, in terms of you've increased your target CET1 ratio and you've kind of come in below market expectations for distribution. So can you tell us exactly what's gone on in terms of this print and what it means going forward? And my second question was around AI actually. So it's a clear market concern in the last couple of weeks, the highly disruptive potential impact of AI on actually the revenue streams of banks. And I look at yourself and Irish banks, you've got some of the richest product margins in Europe. Interested in kind of your reflections. I know it's an unfair question given this is kind of an emerging theme in real time. But just given your vantage point, interested in whether you share that view and actually to what extent you see yourself well defended.
Myles O'Grady: Super. Thanks, Aman. Let me take both of those. On the capital question, I understand the question. And -- I mean, just to reiterate, I mean today, we're announcing a EUR 1.2 billion distribution. And I call that again because it's 100% of profits, and that's an increase of a payout from 80% last year to 100% this year. So that consistent objective of returning surplus capital back to shareholders through a combination of a progressive DPS that's up 11% on the year, but also surplus capital. And it's always going to be a point-in-time decision. And maybe to anchor it back over the past 3 years, we've returned EUR 3.5 billion to shareholders, representing 37% of our opening market cap in 2023. And again, as a measure of our commitment, of course, to hold capital to invest appropriately in our business, but also to reward shareholders as well is an absolute priority for us. It always has been, and it will continue to be so as well. And on the go-forward piece, again, I would just point to the very strong capital gen momentum that we see. So on average, 260 basis points of capital being generated on average for the next 3 years that's capturing momentum. It's capturing growth, its capturing operating leverage, all of which translates into that ROTE target of greater than 16% and that EPS growth of mid- to high teens. So that's how I think about it. And certainly, that priority on returning capital is unchanged. And I do think there is a dynamic that's worth calling out maybe to the harder part of your question. If I think about looking forward, we expect to operate at 14.5% each year. And I know I'm repeating myself a little bit here, but given the 25% investment in loan growth, that 100% payout would not be a constraint going forward. On AI, I think you're right, Aman. I've spoken to it as a positive disruptor, and that's what it is. But any disruption, of course, comes at risks and not unique to Bank of Ireland, and not unique to banks actually, I mean, for all sectors. I mean some of those risks are sector dislocation, potential employment risks into the longer term and maybe also deflationary pressure as well. Now they're very much into the long term. I don't think they're a clear and present risk. So it's important that we absolutely harness the benefits of AI, but also we've got a keen eye on the risks. And again, if I link that to -- it's a broader response to the question, but I think it's relevant. If I think about Ireland and its position, it's very strong economic growth expected over the next 3 years. That's been driven by very strong sector performance in the domestic economy. The multinational sector where we export, that's holding up well. Employment is up. And really importantly, I think to the heart of your question is that the Irish government's commitment to its national development plan, EUR 275 billion out over the next 10 years, that's going to drive and maintain economic growth in Ireland for some time. I think we can take that as a positive and of course, as we appropriately manage those risks.
Eamonn Hughes: At the back here.
Unknown Analyst: [indiscernible]. Just coming back on capital again. You buffered your minimum requirements now over 300 basis points. Should we think about that 14.5%, should we link it to your minimum requirements, you run with a 300-bps buffer? If SOFR comes down, it should mechanically come down. And then you just talked about the national development plan. I mean your loan growth targets don't seem that ambitious given what's coming through there. And I guess if growth were to surprise on the upside on loan growth, what gives? Is it the payout ratio? Or should we expect that 14.5% to come down? And then just maybe on NII, Mark, you said going to maybe EUR 4 billion after 2028. Is that 2029 or 2030? And what's driving that? Is it rates staying at 2.25? Is it loan growth? Is it hedge? Is it a mix of everything?
Myles O'Grady: Thanks for that. Let me take the first question, and then I'll pass to Mark. Actually, in setting our target to be at 14.5% for a CET1 ratio, we'll always check in as to where we stand against the rest of the market. And when I look across Eurozone banks, that's about 40 banks in total. The average buffer above MDA is, as you say, is about 300 basis points. So we're pretty much comfortably in the pack on that. And certainly, any mechanical change in regulatory requirements, I think, would have an impact on overall requirements as well. I think you can take that as a reasonable assumption. And on the loan book growth, we've got an incredibly strong Irish franchise. We've seen that in the last 3 years. Loan book growth last year, deposit book growth of 6%. We have factored in very strong growth into the future. For example, the mortgage book to grow at 5% per year. That's growing faster than the Irish economy. And certainly, if the economy performs stronger, if some of that 10-year national development plan happens sooner, then we're very much well placed. We've got the balance sheet capability to support that growth. And that growth, I don't believe would come at a cost to getting the balance right with distributions as well.
Mark Spain: And just to add on that last point, obviously, we've got EUR 1.7 billion of deleveraging portfolio as well. So that's going to come through a lot of that 2026, a little bit less of a drag, '27, '28. In terms of the NII beyond 2028, obviously given guidance and the targets more into 2028, not going beyond. But my view is I don't think you have to wait for too long. And if I think about the drivers on that, really, you were talking about a pretty stable rate environment at that point. There's still some benefit from the hedge at that point to 2029, but it's really back to the balance sheet growth of those -- that deposit and loan growth, particularly in Ireland.
Eamonn Hughes: Okay. There doesn't appear to be any further questions in the room. We can come back to -- sorry. Mic.
Jordan Bartlam: It's Jordan Bartlam from Mediobanca. On the loan growth point, I was just gonna ask, it hasn't really been mentioned, but about 10% plus consumer lending growth this year. I wonder what was driving that. Obviously, that's a lot higher margin than on the mortgage or the corporate side. So it's quite an important driver if you continue at that sort of run rate. Yes, that'd be super helpful, a bit of color on that and where you see that piece going in the future.
Myles O'Grady: Thanks, Jordan. I mean, the consumer book is a relatively small component of the overall Bank of Ireland balance sheet. But what is encouraging about it, that growth in the book, I see that as a measure of, importantly, of consumer confidence and willing to borrow. That's important because consumer confidence is the starting point for businesses having confidence to invest in their business. Yes, of course, we will support that consumer book. The encouraging element of it is that I referenced earlier private sector credit in Ireland up 6% last year. When I look at our business on the ground, we've seen very strong performance in manufacturing, in engineering, retail, holding up really well. In fact, that book is growing, supported, I think, by consumer confidence, which again, gives us confidence to the growth story for Ireland.
Eamonn Hughes: A few hands went up there. Send a mic.
Mike Evison: Mike Evison from Autonomous. Just 2 questions, please. So on the fees, thanks for giving more details there. You're obviously guiding for some very strong AUM growth and about EUR 0.1 billion contribution to the income growth through '28. Would just be interesting to understand where you think that growth is coming from? Is it competitive market share? Is it just general new growth? And in that context, how you think about any lost NII on that growth? So obviously, deposits generate strong profits in Ireland. And are you assuming in your cross-sell any movement from the deposit book across the AUM book? And then the second question on the cost guidance. I'm just trying to put together some of the numbers. You've obviously given the mid-40s cost/income ratio target for '28 and then said a lower than -- you're aiming or would expect to do a lower than 45% by FY '30. Should we be implying from that, that the mid-40s in FY '28 is higher mid-40s? Or should we be looking mid-40s there?
Myles O'Grady: Okay. Thanks, Mike, for that. Let me take those questions. So I mean, on the fee income, the -- I referenced earlier that our wealth business is a hugely important part of where we expect to grow capital-light fee income. It's been an incredibly strong success story, 2 amazing brands with Davy and New Ireland, Davy in particular, looking after high net worth customers and of course, New Ireland, a life and protection business supporting pensions. So we want those 2 businesses to continue to do what they do so well. But also growing from that, there are areas that we know there are opportunities, in particular, the affluent market. So I referenced earlier, we've got about 2.2 million retail Ireland customers, 2.5 million retail customers if we include Northern Ireland, where Davy is present as well. Within that, it's about 150,000 affluent customers. So we want to target that. And much of our -- I referenced earlier, we're spending a bit more on our investment profile. Part of that investment spend is in digital and CRM capabilities within the wealth business. So that's an area that we want to step into. And that will not only generate short- to medium-term benefits, but also today's affluent customers, many tomorrow down the line become high net worth customers. That's a good thing to go after as well. The other area that we are focused on is in pension. So many private workers in Ireland don't have a pension. So using the new Ireland brand to support corporate pension growth is another area and certainly getting all our different businesses interlink together for those cross-sales. And then stepping back from it a little bit, the demographic piece is really important as well. So we called out a 7% expected growth -- household wealth growth out to 2030. That's a huge part of the story as well. Did I get was there a second question? Or did I answer both? On the cost piece, sorry. Yes, sorry, yes. So again, the uplift piece around getting to mid-40s, I'd say it's about a -- think about the delta, it's a 6% improvement in leverage in part from a top line revenue growth of 4% and keeping our costs a CAGR of about 1% or less than 1%, we call it stable cost mark. Within that, we have EUR 250 million of cost savings. So I'd say it's probably just you can take 6 off the current position. But I think at the heart of your question is that we don't stop in '28. There's real momentum here to go beyond that, and we will push hard for that.
Eamonn Hughes: Okay. Sorry, Aman back to you.
Aman Rakkar: Let me ask another question. Yes, it's just about the revenue mix. So I think you're around 81% net interest income this year. And I think in terms of your forward-looking guidance, you're effectively indicating increasing shift towards net interest income from here. Is that just a reality of the banking system that you operate in the position that you operate in, the opportunity set that's in front of you? And are you inclined to do anything about that? Do you want to try and address that revenue mix at some point? Can you?
Myles O'Grady: Yes. I mean so it's an interesting question because if you know the back story to Irish banks, typically, the fee income has been a smaller component of the total revenue. Now we have the fantastic opportunity to grow our net interest income, which Mark has spoken to. And of course, we want to do that. So that's a good story. But also, of course, we want to increase our wealth fees or fee income. I mean our wealth business accounted for just under 50% of our total fee income, and that's going to grow more. And of course it's not happening, but had net interest income remained static, then fee income would've become a greater component. But it's great from a diversified income perspective, both are growing. Certainly I would say, again, I referenced earlier today is an organic story, but certainly if there's anything, any opportunities that were to present themselves that would offer an ability to positively shift that mix, you know, we'd certainly have a look at that.
Mark Spain: I might just comment on it as well because I think, if you think about one of the pieces we outlined in today, which is actually getting behind our wealth position, we've got fantastic positions, getting behind it more, investing a little bit more there. Talked about the impact in the near term and costs. Actually, we see benefits in 2028, but we see benefits, even more benefits into 2029 and 2030. We're making that conscious decision to invest now, recognizing that the medium-term opportunity here is really, really attractive. So I think we'll see further benefits beyond 2028.
Eamonn Hughes: We just might give some people online an opportunity now, we can come back to the room. [Operator Instructions] So it looks like our first is from Borja Ramirez from Citi. Borja, you may unmute yourself, turn your video on and ask your question. Borja, if you can hear us. Okay. We'll move on to the next question. We can come back. If Rob Noble is there from Deutsche.
Robert Noble: Just on the capital generation point. So I don't understand how 25% of the capital gets consumed by RWA or growth, right? So you're saying 4% loan growth and RWAs grow less than that because of the mix. So if we call it 3%, I don't understand how you'll get anywhere near 25% of the capital being consumed. So is there something in there that I'm missing or doing wrong? I guess linked to that is you'll do 12.5% ROTE, your numbers, 12.5% ROTE this year, generate 250 bps of capital. How come 16% in '28 is only 270 bps. It seems that it should be materially higher than that even if you take off the DTA partially dropping off. And then last one is on the U.K. So there's a lot of spread pressure in the U.K. So what spreads are you writing on mortgages at the moment? And what ROE do you see the U.K. within the mix of the group? And are you still happy with that business adds value overall.
Myles O'Grady: Rob, thank you for that. I'll respond to the broader question on our U.K. business and then ask Mark to take some of your detail on capital and the spreads as well. I mean we're very pleased with our U.K. business, Rob. We're -- this is a business we've worked very hard in recent years. I called it out in my script earlier to get that business performing well. It's a combination, I think, of a full service offering in Northern Ireland. That's particularly important because that offers efficient funding to support what I would describe broadly as specialized lending in Great Britain. That's working. So that specialized lending supported by efficient funding, also an efficient operating model. We've taken cost out of that business as well. I mean that's resulted in for last year, if you use our U.K. plc business as a proxy, it's a return on equity of 16%, and that trend has continued. So earlier, I spoke about 3 components to our strategy: driving growth in Ireland, optimizing capital allocation; and three, investing for the future. The U.K. business sits comfortably in that second bucket where we are optimizing our capital allocation, and I'm very comfortable with that business and how we have repositioned it in recent years. Mark?
Mark Spain: Yes. On the RWA point, Rob. So again, we're guiding this morning loan growth of around 4% over the cycle, RWA is around 3% I think the other factors probably you need to think about are op-risk RWA. And obviously, given our outlook, we'll have a higher op-risk RWA based on earnings and also CRT movements, which can move in individual periods as well. So when you bring all that together around 25%, we think is appropriate guidance at this point. Obviously, in individual periods, we could do better than that, but I think about 25% overall. On the start ROTE and the organic cap generation, so yes, there's a DTA point. I think the guidance maybe though is greater than 270 bps. So just to note the greater than. And also, obviously, we'll think about the average higher risk weights as our balance sheet grows as well in terms of the denominator.
Eamonn Hughes: Okay. Our next question comes from Denis in Goodbody.
Denis McGoldrick: Just two, please, if I may. So one is the statement this morning referred to a 40-bps impact from IRB model scalers. Just if you could give us a little bit more detail on that, please, and what areas of the loan book is referring to? And then secondly, maybe just more broadly on the Irish loan growth guidance and the national development plan that you mentioned, Myles, I guess, how do you think about development finance lending in that context? Is it an area you expect to move into more? And is it considered within the guidance? Or are there any constraints which might stop you from leaning in a bit more into that space?
Myles O'Grady: Yes. Thank you very much, Denis. I mean the strategy to grow our Irish business within the lending piece of that, absolutely, there are 2 very, very large significant structural opportunities and one we know very well, which is in relation to housing and the supply of homes. Our mortgage book has performed very well. It grew 9% last year as a book, expected to grow further out over the next 3 years. But of course, in support of that infrastructural lending is hugely important to us, and we are an active player in that market. There are different components to it. For example, on the housebuilding side, we hit a target last year to support the development of 25,000 homes. That's really important because we typically support the building of affordable and efficient homes. and that's the right thing to do from a societal perspective but also plays in very nicely to our mortgage business. And beyond that, the infrastructure spend, that EUR 275 billion by 2035, about EUR 105 billion, I think, over the next 5 years or thereabouts. So we're very well poised to support that. And so that spend is going to focus on roads, infrastructure, energy. And I should say we've built up capability in that regard and that team over the last 18 months. And so we're well positioned to support that growing part of the market as well. And on IRB, Mark?
Mark Spain: Yes, so that relates to scalers applied pending the approval of certain IRB models, about EUR 2.7 billion of RWA, 40 basis points CET1 net of some capital buffers that we held, primarily U.K. mortgages, expect to at least partially recoup that over time. That is not built into our guidance. So that's actually upside.
Eamonn Hughes: We're going to see if we can get Borja in Citi.
Borja Ramirez Segura: So I would like to ask 2 questions, please. Firstly, the capital generation target of over EUR 3.75 billion, it seems conservative in my view. So I did a back of the envelope estimate, and I get to like EUR 600 million of higher net profit cumulative over the 3 years. If I use the P&L targets compared to the capital generation. So I think in my view, there's maybe EUR 600 million of upside cumulatively. And then linked to this, I think that -- I mean, there's also upside to your distribution compared to consensus. So I think if we assume like a payout of around 100%, there's still around, I think, 10% upside to consensus distributions for the next 3 years. And I think that's interesting because you -- with your EPS target growth, which does not include the share buybacks, you're already going to be towards the better -- the higher end of the European banks in terms of EPS growth. So I think that's very, very interesting. And then my second question would be on cost of risk. I understand that you are deleveraging in those portfolios that have a higher cost of risk like US Direct Finance, CIB and U.K. corporate book. And also, I guess you -- macro is very supportive with the stimulus. So I understand there's maybe also some potential to surprise positively in the cost of risk in the medium term. That would be my second question.
Myles O'Grady: Thanks, Borja, and good that we were able to patch you in. I'll ask Mark to take those questions. I mean, other than to offer an overarching comment, which is that to the extent that there is an ability to outperform any of the targets that we set out today. We'll always push ourselves hard to outperform. And certainly, if we do, that offers opportunities to reward shareholders more to invest in our business model indeed to grow our business. Mark, over to you.
Mark Spain: Yes. So maybe a couple of thoughts on the capital generation question or observation, I would say. So one is, I agree, we're upgrading our guidance today over the cycle, particularly for 2028 from the emerging consensus, I can see for 2028. I think we're upgrading by 3% or 4% relative to that. And then if I think about the cap gen specifically, so we do have higher net profit, you're right, over the period. You also have to think about other moving parts in getting from profit to cap gen. So for example, the changes in the expected loss allowance would be one that would be within that as well. And as I mentioned earlier, about 25% of that strong organic capital generation we need to invest in growing our business. So we factored all of that in. We factored in the delta between the 15.1% and the 14.5% and arriving at the EUR 3.7 billion. But as Myles said, absolutely, if we can outperform that, we will absolutely do it. And we think we've, I think, made realistic assumptions overall, but we'll obviously look to outperform those. And then the cost of risk, actually a really good performance in the second half of last year. So our NPE ratio down to 2.2%. That's the lowest level over the last 15 years. So we're in really good shape. That reflects a lot of hard work, I'd say, on the ground in the second half of the year, particularly strong last quarter to the year. So we're really pleased with that. And if I think about the low to mid-20s guidance for 2026 then, and I think it's a similar level beyond, actually, by the way. I think that's an appropriate level. One of the things we've done actually looking back over the last sort of 5 or 6 years is testing the cost of risk over that cycle. And you're right, we have made decisions during that time in terms of strategic reallocation of capital, most recently on U.S. Life. That does support a lower cost of risk. But I'd say that at this point, low to mid-20s is an appropriate level.
Eamonn Hughes: Okay, Borja was the last online. So we'll just come back to analysts in the room. Fatima?
Fatima Ghaznavi: So your forward-looking guidance that you have for 2028 NII was a lot better than what people were expecting. And a big part of that is you growing the size of your structural hedge. And for that, you assume a swap rate of 2.5%. Is there any risk of the long end of the yield curve coming down? What would the risk be on that NII guidance? I think swap rates today are 10 basis points lower than what you'd guided to. Would that maybe incentivize you to change your hedging behavior so perhaps ramp up a bit more slowly or think about increasing your duration at all?
Myles O'Grady: Mark, do you want to take that one.
Mark Spain: Yes, absolutely. Fatima, You're right. I mean the structural hedge is a key part of our revenue outlook. And if I think about we've given the details in the presentation, a lot of the benefit is locked in, certainly for 2026, more than 90%, more than 70% next year. While I think the other piece that came up in the question earlier is you think about the maturing yields. So the maturing yields here are closer to 1% over the period. So yes, of course, there's an impact, and you can think about EUR 9 billion a year rolling off. So you can sort of do the math in terms of if there's any delta in terms of the reinvestment rate, but we think getting to 2.5% even on today's curves, is absolutely reasonable and realistic.
Eamonn Hughes: Any more questions from analysts in the room. We've one at the back on the phone.
Unknown Analyst: It looks like the Irish government are going to introduce sort of tax-free investment wrappers like there are in the U.K. with the ISA type structure. I was just wondering if you've embedded anything in your targets in actual years for that.
Myles O'Grady: The backdrop of that, of course, is, if I understand the question correctly, it's a European initiative on savings and investment union, which is about empowering customers with better tools for wealth growth and retirement. And so I would say that it's entirely aligned with Bank of Ireland's strategic objective to grow our wealth business. As Ireland's National Champion Bank, our job is to offer choice, whether that's a simple deposit account, whether that's a passive wealth account or whether it's a more discretionary approach to it. And certainly, I will be very supportive of the introduction of the ISA type product that would be a progressive step, and we'll be very happy to support that. And in many ways, the products that we're developing are, in essence, that for affluent and mass affluent market. So it's aligned with our strategy, and we would support it.
Eamonn Hughes: Okay. Any more questions in the room? Okay. Okay, folks. Look, thanks, everybody, for your participation this morning. For those of you here with us in the room, you're welcome to stay for refreshments and to meet the members of the group executive who are here in the front rows. We look forward to also meeting as many of you as possible on our road show. And if you have any follow-up questions, obviously, please reach out to us in Investor Relations as well. So thanks again. Have a great day.
Myles O'Grady: It's a busy day in the market, guys, and thank you for being here today.
Mark Spain: Thank you so much.